Operator: Thank you. Good day, and welcome to the Beam Global Second Quarter 2025 Operating Results Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Lisa Potok. CFO. Please go ahead.
Lisa Potok: Hi. Good afternoon, and thank you for participating in Beam Global's Second Quarter 2025 Operating Results Conference Call. We appreciate you joining us today to hear an update on our business. Joining me is Desmond Wheatley, President, CEO, and Chairman of Beam. Desmond will be providing an update on recent activities at Beam, followed by a question and answer session. First, I'd like to communicate to you that during this call, management will be making forward-looking statements, including statements that address Beam's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in Beam's most recently filed Form 10-Ks and other periodic reports filed with the SEC. The content of this call contains time-sensitive information that is accurate only as of today, 08/14/2025. Except as required by law, Beam disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. Next, I would like to provide an overview of our financial results for Beam's 2025. For 2025, our revenues were $7.1 million. This is a 12% increase over '24. Revenues for the six months ending 06/30/2025 were diverse across commercial entities and state and local governments, with a significant rebalancing towards enterprise customers, whereas 60% of our revenues were derived from commercial customers compared to only 24% in the same period of '24. Additionally, for the same period, our international customers comprised 37% of all revenues in '25 versus only 15% in '24. Our current backlog at the end of '25 is $7 million. Our gross profit for 2025 was $1.4 million or a 20% gross margin. This reflects an improvement of four percentage points compared to the same period in 2024. The gross profit includes a non-cash negative impact of $657,000 for depreciation and amortization. Without this non-cash expense, gross profit for '25 would be $2.1 million, a 30% gross margin. We have continued to recognize synergies and positive gross margin contributions from our acquisitions, and we expect the company's revenue to grow in the future and our fixed overhead absorption to continue to improve, resulting in improved gross margins. Our total operating expenses were $5.9 million for 2025 compared to $7.1 million for 2024, a reduction of $1.2 million or 17%. The Q2 2025 net loss was $4.3 million compared to Q2 '24 of $4.9 million. The Q2 net loss, excluding non-cash items, was $1.4 million compared to $1.8 million in 2024, a reduction of $400,000 or 20%. We ended the quarter with a cash balance of $3.4 million compared to $2.5 million at March 31. We have historically met our cash needs through a combination of debt and equity and more recently through increased gross profit contributions. I will now turn the call over to Desmond to provide a business update.
Desmond Wheatley: Thank you very much, Lisa, and thank you all for joining us for this call. 2025 was a quarter in which Beam Global successfully executed on another very significant expansion of our global market presence, the creation of Beam Middle East. It was also a quarter in which we returned to revenue growth and generated the best GAAP gross profit margin in our history. We shipped EV ARC and other Beam products to 13 states in the United States and to multiple countries in Europe. We grew our energy storage systems business with both commercial and military customers. We added several new contracted reselling relationships in Europe, and we made our European operations far more efficient through continuing to add lean manufacturing processes. Because we own all the buildings and property there, we've been able to install sufficient solar generation to support our operations in a green and sustainable manner while saving a great deal of money on utility bills. We did all of this while remaining debt-free, reducing our operating costs, maintaining sufficient cash and operating capital, and improving almost every other aspect of our operations. Lisa's just gone through all the numbers, so I'm not going to take more of your time by restating too much of what she's already said. But I do want to highlight a couple of important factors that we can take from these numbers. First of all, we're at a 12% increase in revenues in the quarter, and while this is not quite as meteoric as some of the growth that we've seen in previous quarters, I want you to remember that we're doing this in the face of a more or less complete cessation of all federal sales activities as a result of the new administration's position on electric vehicles. In prior years, sales to federal entities have accounted for almost half of our revenues, and we've had to adjust our approach to deal with the new reality of the federal government not buying electric vehicles or electric vehicle charging infrastructure. But adjust we have, and that's how we've managed to increase our revenues quarter over quarter even in the face of this challenge. There have been a couple of major contributors to this recovery and our return to growth. The first has been, as Lisa just said, that about 37% of our revenues in 2025 came from our international business. This is yet another validation of our strategy of diversifying not just away from federal government customers, but into new and very promising international markets. I started the call by mentioning that we've made another significant geographic expansion through the creation of Beam Middle East, but that's very recent. All of the revenues just mentioned have come from our European entities based in Serbia. We've made sales of both our acquisitions' legacy products and Beam Global portfolio products to multiple countries in that region. The impact of our European business is growing just as I previously anticipated and suggested to you that it would. I'm very happy with the way things are going at Beam Europe and remain extremely enthusiastic about our future opportunities for growth as this is the largest market in the world for our products. The other really significant contributor to our return to growth is that revenues derived from non-government commercial entities are 60% of our year-to-date revenues. This should put to rest any doubts that people may have leading them to think that our product might only be bought by governments. Clearly, our products have a great deal of value and attraction for non-government entities as well. We're also having a lot of traction with state and local governments in the United States. While it's true that the federal government has reversed course on the electrification of transportation, that is certainly not true of the majority of state and local governments with whom we deal. We intend to continually aggressively market our products to those government entities until we see a change in appetite at the federal level and even after that. I'm very confident that we will see that change in appetite at some point, though it may take a change in administration to get there. Electric vehicles are still growing in the United States, the sales of them. And they're really growing in other parts of the world. Let me throw a few numbers at you. JPMorgan tells us that after a 20% increase in electric vehicle sales in 2024, '25 has delivered a 35% increase so far. Bloomberg says that globally electric vehicles will be one in four cars sold this year, and there'll be at least another 25% increase in sales. Remember that these percentage increases are on top of the very significant percentage increases we've seen in prior years. So absolute numbers are growing even more significantly. Grandview Research tells us that we should expect a 32.5% CAGR from 2025 to 2030 in EV sales. I think it will be a lot more. So as I've often said before, don't pay too much attention to what you're seeing in the press or hearing from politicians or legacy industry insiders who want you to believe that EVs are dead or dying. The complete opposite is the truth. All this growth in demand for electric vehicles will, of course, translate into growth in demand for electric vehicle charging infrastructure. And I can give you a couple of interesting statistics on that subject as well. In China, there are about nine electric vehicles for each public EV charging station. In Europe, that number rises to about 14, and in the United States, there are no fewer than 29 electric vehicles for every public charging station. So you can see that the US is way behind Europe and even further behind China in terms of the deployment of charging infrastructure per EV on the road. Of course, that spells opportunity for Beam Global because the US is going to have to catch up. And frankly, Europe's going to have to catch up to China too. But what's really interesting is that China doesn't even have enough charging for its current EVs. It's probably going to take at least one EV charger for every five EVs on the road to get to the point where there's adequate levels of EV charging. Not good levels, but adequate. So you can see that even China has about half as many public chargers as they need today, and that's without all the growth in EV adoption that we're seeing accelerate globally. Part of the reason we're so enthusiastic about expanding into the Middle East is because it's a gateway for Africa, where at the moment, there's neither EV charging infrastructure nor a utility grid which could support it. But I'm pretty confident that in the coming years, Africans who never owned diesel or gasoline cars will end up owning electric vehicles in the same way that they adopted cell phones without ever having had landlines. Beam Global's products will be ideally suited for the African market, which is vast, highly dispersed, and lacks any sort of centralized infrastructure, at least when viewed from western standards. I've spent a great deal of time traveling in Europe and the Middle East over the last several months, and the increase in the number of electric vehicles I'm seeing on the road is remarkable. Sadly, the majority of them are Chinese, and I say sadly because I've always hoped that the United States would be the leader in this technology, which is a global inevitability. And it concerns me to see us giving up that leadership at a time which is absolutely pivotal in the evolution of the industry. After closing the Beam Middle East transaction, I had to take a car from Abu Dhabi to Dubai with a driver. Now, I made that trip in a Chinese BYD electric vehicle. And I can tell you that traveling at 100 miles an hour for an hour and a half through the desert in total comfort and surrounded by the latest technology really highlights for me the giant leaps that have been made by EVs in general, but particularly by Chinese manufactured products. You can be left in no doubt that electric vehicles are the future. At the moment, it certainly looks like the future is Chinese where EVs are concerned. And that's not good news for the United States, but the increase in adoption of electric vehicles is very good news for Beam Global. Because the more of them that there are on the road, regardless of who makes them, the more charging infrastructure is required. The more charging infrastructure is required, the harder it gets to install grid-tied charging infrastructure, and the more value our products deliver. Coming back to our financials for a minute. Another notable bright spot can be found when you look at our gross margins for the second quarter. We reported GAAP gross margins of 20%, and if you take out the non-cash impact to COGS, we actually generated a 30% gross margin during that period. Remember all of you that I've been telling you that we're heading for 50% gross margins, and we keep relentlessly heading in that direction. That 30% adjusted gross margin was a 12% increase over the same period in the prior year, even though our revenues were lower because of the loss of federal sales that I've already mentioned. I'm sure I need to explain that when revenues decrease, all other things being equal, gross margin should be negatively impacted because of the increase in overhead allocations burdening a smaller number of unit sales. In fact, the Beam team dramatically improved gross margins even in the face of these challenges. Our European operations again contributed significantly to this, as did the efforts of our global engineering and operations teams who continue to make our products better while finding ingenious ways to reduce our costs. I know that our American employees are listening to this call right now, and I just want to say a special thank you to them for all of their efforts where that's concerned. Good work. Keep it up. We will continue to tirelessly and relentlessly pursue cost reductions, although never at the expense of quality. And in the face of the increased challenges that we and everyone in the manufacturing industries are facing as a result of increased cost burdens brought about through the ever-changing tariff policies. And we also reduced our operating expenses during the second quarter by $1.2 million while continuing to improve our processes and invest in growing our business. One quick reminder as you look at our six-month results, you're going to notice that we took an $11 million charge for the impairment of goodwill. And I said this in the last earnings call, but I'm going to say it again today. No one on the Beam team is disappointed in the performance of our acquisition. No one thinks our acquisitions are worth less today than they were when we made them. No one thinks that the future opportunities for growth as a result of our acquisitions are less than they were when we acquired those companies. It's the absolute opposite. The impairment of goodwill, rather than being an indication of the actual value of our acquisition being any less, is actually driven by the fact that our market cap has dropped to lower than the carrying value of the acquisitions with goodwill. As a result, we're required to make an adjustment, and the only way that we can do that is by reducing the value of the goodwill. So the impairment of the goodwill is driven by a reduction in our share price, not by any actual reduction in the true value of those assets. It looks pretty horrible when you're looking at our bottom line, but please remember that these are non-cash impacts. And again, in my and my team's opinion, in no way indicative of any negativity around Beam's operations. We continue to be very careful with cash as we always have been, and you can see that our cash position at the end of the second quarter is actually an improvement over where we were at the end of the quarter. You'll also note that we have no going concern. We remain debt-free. Now on some operational matters. I was in Abu Dhabi in July, as already mentioned, for the signing ceremony which marked the creation of Beam Middle East, our new joint venture with the Platinum Group. The creation of Beam Middle East marks the first instance where we've expanded geographically without owning outright. Prior to joining Beam Global, I spent many years living and working in the Middle East, and I learned that while it's important to have a good product and a good company in that region, it's also important to have very good relationships. I do not consider it wise to attempt to bootstrap in that region while flying solo. With that in mind, I spent the last several years seeking an entity with whom we could partner to create Beam Middle East, an entity that we could trust and work with and has the right relationships and experience to assist us in the growth of our business there. Well, I'm delighted to say that with Platinum Group, we've really knocked it out of the park on both measures. We conducted our due diligence on them, and I'm bound to say they did the same to us. I spent a great deal of time with the leadership negotiating the terms of our joint venture. At all times, I found them to be constructive, innovative, and honest in their dealings. And it was a real pleasure working through the process with them. It wasn't easy, but it was a pleasure. The Platinum Group is chaired by His Highness Sheikh Mohammed Sultan bin Khalifa Al Nahyan. Spend a couple of minutes googling the Al Nahyan family, and you'll see why I'm so confident that we've partnered with a group with relationships at the very highest level. But I'll save you a bit of time on that. I'll tell you that the Al Nahyans are the leaders of the United Arab Emirates. Platinum Group is a multibillion-dollar organization with investments in energy, gold, finance, real estate, healthcare, food, hospitality, and technology, and a whole host of other things. They're connected at the highest levels in both government and enterprise in the Middle East, and also importantly for us, Africa. In September, I'll be returning to Abu Dhabi for the grand opening of our Beam Middle East offices. I visited the shell of our building while I was there in July, and as I said, I'll be returning in September when I'll find them completed. Such is the speed that things happen in Dubai and Abu Dhabi. In the early days, our focus will be entirely upon selling in the region. Those product sales that we do make will be manufactured in and supported by Beam Team Europe and the US. Once we get to a certain level of volume, and as a result, the economics support it, we'll invest in facilities to assemble our products in that region. So we'll manufacture the pieces in the US and Europe and then we'll assemble them in the region. Then as the volumes increase further, it's our plan to actually manufacture there. This will give us sales and manufacturing in North America, Europe, and the Middle East and Africa. Perhaps you can start to see what we're doing here. We're creating sales and manufacturing platforms in all the most significant markets for our products in the world. Our products are relevant in all these regions, and with our manufacturing experience in the United States and Europe, our ability to cookie-cutter and recreate these types of facilities inexpensively and rapidly in other parts of the world is becoming exceptional. Some of you may find it paradoxical that the Middle East, a region known for its production of oil and gas, could also be a region full of opportunity for renewable energy and the electrification of transportation. Again, I encourage you to spend five minutes on Google. What you're going to discover is that there are vast sums of petrodollars being invested in the latest sustainable technologies and renewable energy, and electric vehicles in particular are very popular, experiencing significant growth and attracting tremendous investment in the coming years. In fact, the Middle East region has already announced investments of over $1 trillion in sustainable technologies by 2030. As the former Saudi oil minister, Sheikh Ahmed Zaki Yamani said, the Stone Age did not end because we ran out of stones. Planning for life after oil and using the revenues to fund that life is a huge priority in the region, and we aim to position Beam Middle East to take advantage of that paradigm. I certainly saw the evidence of the beginnings of those investments during my recent trips, and anyone who's familiar with the region and the governments and industries there will know that these investments are only accelerating. Beam Middle East will actually be heavily engaged in Masdar City, which is the United Arab Emirates' showcase sustainable city. It's a truly incredible place. There are no gasoline or diesel vehicles, but there are lots of autonomous vehicles, micro-mobility solutions, and electric vehicles. I met with the leadership while I was there, and I'm confident that you will soon see Beam Middle East solutions providing even greater levels of autonomous sustainability within that extremely high-profile environment. Of course, this will be good for our business on a practical level, but also our ability to bring people from across the region to what is recognized as the leading sustainable city over there and show them our products at the forefront and leading edge of this development will give us a tremendous springboard for the adoption of our products in the broader region. Returning for a moment to our European operations, as I mentioned earlier, we're increasingly happy with the revenue and gross margin contributions which we're receiving from there. I'm also very enthusiastic about what the future holds for us there because, as I've mentioned before, Europe is still the largest market in the world for our portfolio, renewably energized EV charging, energy security, and smart cities products. It also continues to be a very vibrant market for the legacy businesses which we inherited when we acquired Amiga and Telkom. Those lines of business are actually mutually supportive and fit in very well with the Beam Global portfolio of products. Same customer in almost every case. I'm also very enthusiastic about our opportunities in Europe because we've done a great job over there recruiting reselling agents, essentially force multipliers for our sales team that don't end up in our operating costs. The second quarter was very active where that's concerned. We now have new resellers for Croatia, Switzerland, Germany, Austria, and as a result of those efforts in the second quarter. We can add these to the new existing reselling partners that we already had engaged. Like, for example, our partners in Romania who were responsible for the latest sale of EV ARCs.
Noel Parks: Sale.
Desmond Wheatley: I spent time in Bucharest during the second quarter at the Romanian Mayor's Congress where leadership from over 50 cities converged to assess products and technologies which they're considering for their cities. Beam Global received the Sustainability Award for Innovation and Infrastructure at that Congress, which was a significant win for us because believe me, there were lots of very good products and solutions there. I'm extremely proud of the fact that we were singled out as being the most innovative and most impactful product solution at the event. Our European operations continue to get better every day. We've implemented further lean manufacturing procedures which make us more efficient, safer, and reduce the cost to produce our products. You can see some of this in the most excellent margin contributions that we're generating from part of our business. And because we own the land and the buildings for Beam Europe rather than leasing as we do so far in the US, we're able to make other investments which make us more sustainable and further reduce our costs. For example, we've just completed a significant solar installation on the roofs of our factory buildings in Krijevo. This solar installation makes us increasingly self-sufficient, which is important to us as a sustainability company, but also from a bottom-line perspective. It'll be very impactful as we'll have low to no utility cost when we finish out this project, which by the way will include the installation of battery storage as well. Having Europe be as efficient as possible is important to us not just because we want to control our costs and increase our efficiencies as we address the European market, but also because as I've already stated, we intend to produce product for the Middle East from our European facilities until such time as we hit sufficient volumes to justify the investment in. Firstly, facilities in Abu Dhabi and then later for manufacturing there as well. This is typical of the way we grow. We evolve as demand teaches us to. We invest as demand teaches us to. That's part of the reason that we do such a good job with cash and equity. All that's to say that we expect our European facilities will get very busy. So our investments are making them more efficient, safer, and more cost-effective will become even more important at that time. Now to our energy storage business in Chicago. The whole world is starting to understand that battery storage is going to be very important for the future. For that reason and so many others, I continue to be very glad that we made that acquisition of a battery company in 2022. Certainly, their contributions have been essential to the improvements that we've made in our EV ARC and BeamSpot families of products, and they continue to be essential to our expansion in Europe and the Middle East. Closer to home, I'm happy to report that our battery business is also doing excellent work in terms of attracting top-tier customers. This is not because we're the cheapest or the highest volume producer but because of our unique ability to create specialized bespoke battery solutions for some really critical applications. Never planned for us to become a high-volume, low-margin provider of battery solutions. It's always been my intention that we make money doing the difficult things using the expertise of our fantastic science and engineering teams to solve problems which I believe are going to become increasingly relevant as the world moves deeper into an untethered electrified environment. Our ability to make batteries for drones, robots, medical devices, and of course our own unique applications as well as a whole host of others is going to be an ability that I believe will create bigger and bigger returns for us as the industry evolves. This ability is increasingly being recognized by really interesting customers. In the second quarter, we announced that we gained three major new customers. One of them is a Fortune 500 automotive company. We also have been able to attract customers in the defense industry, who require the highest quality product solutions for often very difficult and mission-critical applications. Being selected by these types of customers is excellent validation of our capabilities and creates opportunity for really significant and high-margin growth in the future. Finally, I just want to spend a moment touching on our Investor Relations efforts. I'm really happy with what Luke Higgins, our internal IR manager, and the rest of the contributors to our IR efforts have achieved over the last six months. At the beginning of this year, we had an average volume of under 100,000 shares a day. Right now, we're averaging just under 700,000 shares a trading day. Maybe a little more today. Averaging, I mean. And we've also seen share price appreciation in this time. I certainly accept that the broader market conditions are probably playing perhaps a bigger role in our price today than even our own internal activities. So I'm not going to claim that we've been responsible for the appreciation entirely. Although I do continue to believe that our discipline and our relentless commitment to doing what we say we're going to do and creating growth opportunities where we get the maximum benefit from the minimal investment inevitably will win recognition from the street. Can't say when, but I'm sure it will. But I do believe that our activities have had a significant impact on our liquidity. More liquidity is a good thing. And I think that the move from an average of 70,000 shares a day to almost 700,000 shares a day can only be good for Beam Global and most importantly, for you, our investors. Many of you will have had firsthand experience of these increased efforts on our part because you'll have received the regular emails, newsletters, videos, and meaningful press releases that we put out. We are directly sending those now to about 20 times more people today than we were at the beginning of the year. I spend a lot of time telling the Beam Global story to people, and while not everyone invests or even buys our products, nobody ever tells me that they think we have bad products or a bad strategy. So the more people we tell the story to, the more people like Beam Global. And so we're going to maintain these efforts to continue to get out the message about this excellent but still perhaps under-recognized company. If you're not on our mailing list, if you're not receiving those communications, please let Luke Higgins know at luke.higgins@beamforall.com, send him a note. So they can solve that problem. His name, number, and email address are at the bottom of all our press releases in case you didn't write that down.
Noel Parks: If you are on our list and you're still not seeing our messages, check your spam folders
Desmond Wheatley: and add Beam for All to your approved address book. There's a lot of very good things going on at Beam Global, and we want you all to know about them. And by the way, we want you to tell others about the good work we're doing and the value that we're creating.
Noel Parks: Okay. To summarize,
Desmond Wheatley: in the second quarter, Beam Global returned to revenue growth, dramatically increased our gross margins, maintained a healthy balance sheet with no debt, created a massive expansion opportunity in the Middle East with very little investment, and continued to successfully adapt our business to an environment where we have to be less and less reliant upon revenues from the US federal government, for the time being. We have an excellent expanded portfolio of patented products that are increasingly relevant and compelling across the globe. At the same time, we're creating a global footprint to sell and produce those products, and we're doing it within an incredibly disciplined investment structure. Just consider where Beam Global is today in comparison to where we were twelve, twenty-four, and thirty-six months ago. We've improved our operations in North America, we've expanded into Europe, and now into the Middle East and Africa. One of the great things about our products is that they operate anywhere they can see the sky. We now have an opportunity to replicate the successes that we've had in the United States, which has delivered about 50% revenue CAGR over the last five years in massively expanded markets. The share price is nowhere near where I want it to be, and it's nowhere near where I believe it should or will be. We're going to keep doing the fundamentally important things to remedy that. I remain very enthusiastic about our future. I'll now return the call to the operator and look forward to any questions you may have.
Operator: We will now begin the question and answer session. Before pressing the keys. If you would like to withdraw your question, please press star then 2. To assemble our roster. The first question comes from Tate Sullivan with Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thank you. Thank you, Desmond, for the comments.
Operator: And set off for the follow-up details on the energy storage opportunity and from your July release where you noted, I think it was a 20-odd percent increase in first-half revenue. Is this still mostly a U.S. customer business? And can you bring it international?
Desmond Wheatley: So it was a 21% increase in sales, I think. I'd like to be clear there. I mean, purchase orders. I know sometimes you get a little confused with the sales versus revenues, but it is a 21% increase in sales orders, I think, that we received. But, nevertheless, very good news. And the answer is, yeah, the majority of it is still US-based. The majority of the customers are so, of course, some of the applications may be extending beyond the borders. But the majority of the customers are still US-based. But the answer to your second part of your question is without a doubt, I mean, there's no question about it. We will certainly be expanding that battery business into Europe. And again, also to the Middle East where they may be more interested, frankly. The Middle East is a lot more sophisticated than I think some people over here give it credit for, and they are really into new technologies, robots, and all sorts of things. I'll just give you a quick quick quick sort of semi-funny example. If you're driving in Abu Dhabi and you text while you're driving, you get a ticket in the mail. They can detect that you are texting while you're driving a car in Abu Dhabi, and they send you a ticket in the mail. That just gives you an idea of how sophisticated they are where technology is concerned. They love the sort of stuff that we're bringing to the market, and I think our batteries will play a significant role over there at some point.
Tate Sullivan: And you mentioned BeamSpot in passing. Can you talk about other portfolios besides placement in the EV charging end market? Have you sold and placed desalination equipment, the bike charging equipment? Or is it still quite a small portion of revenue in the second quarter?
Desmond Wheatley: Small portion, but very promising, I'd say. So on the desalination process, very important to point out that BeamWell was never intended to be a big unit seller for us. We have a product in Jordan right now. We're attempting to get through the incredibly complex processes of getting it into Gaza where it could do what it was originally designed to do, which is help the noncombatants over there. You know, look, you guys all read the newspapers. No one's just sort of loading up a flatbed and driving into Gaza right now. And so it turns out the technology was the easy part of this as we always anticipated it would be the policy parts a little bit different. But BeamWell was never designed to be a big revenue producer for us, although I do think it's a very important product. BeamBike, BeamScoot, BeamPatrol with especially emphasis on BeamBike, that's a product that we're at the beginning of that cycle, and I can tell you I think we might be getting more interest in BeamBike than we're getting in any of our other products right now. I mean, Lisa's nodding across the room here, but without looking at the data, we certainly seem to get an awful lot of interest in that product. And I'm hopeful that we'll be able to give some more concrete discussion points about that in upcoming calls. Thank you, Tate. Thanks. Hope you're well.
Operator: The next question comes from Chris Pearce with Needham and Company. Please go ahead.
Chris Pearce: Hi, Chris. How are you?
Desmond Wheatley: I'm doing well. How are you doing?
Chris Pearce: Can you just I know that EV enthusiasm or adoption momentum in the United States has slowed, but we are seeing increased momentum in DC fast charging, which is kind of doesn't you know, to take that for what it's worth, but I guess there's been more money flowing here and more assets going in the ground. Like, I guess, can you remind us how EV ARC can compete in this market? Or is you guys more primarily compete on the AC side of the world?
Desmond Wheatley: Yeah. We have a DC fast charging product. And, you know, honestly, we like selling it. A lot more revenue associated with it than there is with the level two chargers. But I've made no secret of the fact that I think DC fast charging will be a niche in the future. I understand why it's so important at the moment because drivers of gasoline vehicles want a replication of a gas station experience. Until they own EVs. And then they quickly move away from that and start charging them more like they charge their cell phones. And then there are other drivers for this. We've got government regulations, have heavily favored DC fast charging over level two charging. Again, I think that's a missed opportunity. That would not have been the decision I would have made. Then the vendors themselves, the people who sell DC fast chargers, say you make more money selling that than you do level two and you sell more electricity faster. So there are lots of economic drivers behind the forcing of DC fast charging. But at the end of the day, I think level two will win out. It will be like WiFi. It'll be everywhere. And people will get used to the fact that it's everywhere they were already going. They will not want to go to places to dwell even and no matter how fast it gets, and they certainly won't want to pay a premium for that electricity unless they have to. So I think we will do a lot more level two in the future. But we do have a DC fast charging product. It's absolutely fantastic. I mean, we can deploy it. It's already deployed in California in rest areas. We can deploy it without doing any construction or electrical work or bringing the huge circuits which are required to support those types of chargers.
Chris Pearce: Okay. And then just lastly for me, maybe five years ago, you know, I think there's been a there's more charging 2.0 companies. I don't know if that's the right term to use, but I guess you see more headlines around curbside charging and unobtrusive curbside charging. And I guess I'd love to hear if it's getting more competitive for BeamSpot or, like, it or how you think about the market or is any convenient charger going into a city street an overall positive for BeamSpot and there's enough of the pie for everyone? Like, how do you think about those dynamics?
Desmond Wheatley: Yeah. I think well, the first thing to do is remember the fact that we've never made a charger. And so over the years, people have always said to me, you competing with ChargePoint and Blink and all these others, we're not. We support all of those companies and we'll support the curbside guys as well. We just have a really elegant way of doing it. I'd tell you it's not been without challenges. We released the first version of that product, and as has been typical with everything that we've always done, the minute we release it, we go back into a complete reengineering cycle and kind of, you know, solve for all the things that we learn in early deployments. But that is a very elegant and very good-looking product. I saw car charging on one today as a matter of fact, and we will support all those curbside chargers. But I think your other point is very valid as well. As I said in my comments, the US with 29 vehicles per publicly available charging port is, you know, three times less chargers per vehicle than the Chinese do at the moment. That's going to have to be solved. It's not going to happen at home. As people often say it is, and so curbside charging is going to become absolutely essential. And I'm looking forward to playing a significant part in it. But not at not at the expense of or in competition with the others, we're complementary. Remember, we don't make the charger. We just make their chargers work. In a really elegant way.
Chris Pearce: Oh, I understand. But you if this charge is going in the ground, that's inferior I guess, we can sort of think about the opportunity is for BeamSpot. There's a charger that you to versus etcetera. But I appreciate the detail. That was I hadn't thought of it from that perspective, so thank you. I'll pass it on. Chris.
Desmond Wheatley: Thank you.
Operator: The next question comes from Ryan Pfingst with B. Riley. Please go ahead.
Ryan Pfingst: Hi, Ryan. How are you?
Desmond Wheatley: Hey, Desmond. I'm good. Thanks. Congrats on the strong gross margin expansion. I'll start along the lines of cost there. Could you talk about how much tariff impact you've seen thus far and how you've been able to navigate that?
Desmond Wheatley: The truth is it's been very little. I mean, you know, that but, again, I think we're like everybody else. We're just sort of biting our nails because I don't think that tariffs have had a chance to really take effect yet. The cost impacts of them. Some of that was because people got ready ahead of time, just saw Lloyd this morning announcing they think they're gonna have a weak second half because they think everybody moved everything around in the first half to get ahead of this. And I you know, so we're kind of gritting our teeth for it. But at the same time, we believe that our cost reduction efforts are accelerating faster than the negative impacts we're gonna see on some of these tariffs. And we remain hopeful that at the end of the day, they won't be as bad as everybody's talking about. The uncertainty is really bad for us at the moment. But so far they have not been impactful or very impactful anyway to our cost structure. And we're gonna keep doing everything that we can to get around them. Honestly, the worst thing for us, Ryan, that's come out of this, just to just to air some dirty laundry, if that's what it is, we were very hopeful that we would be able to put some more emphasis on our Serbian facilities to fill some gaps for us and also enable us to grow fast in the US. A big part of the reason for that was because the economics are so good over there that we could ship units from there into the US market without them being more expensive. Obviously, Serbia has been hit with, I think, 35% tariffs right now, largely because it sells a lot of guns and ammunition to the United States. And that's, you know, just really unfortunate that that's kind of buggered up that part of our plan if you like. But, you know, the underlying question is so far not terribly impactful and we're keeping our fingers crossed.
Ryan Pfingst: I appreciate that color. And then second question, you mentioned federal activity remaining low, but have conversations picked up in any way post, you know, the Doge experiment or perhaps post a pause, you know, as folks waited for legislation to pass since we now at least have more visibility on what the incentive environment will look like?
Desmond Wheatley: It's yeah. So for us, it's actually never really so much been the incentives. It's as just the fact that the federal government was a big customer. The US Army is our biggest customer. Marine Corps top 10, you know, Space Force, Pentagon, Veterans Administration. So these are not incentive customers. These are actual buyers of electric vehicle charging infrastructure for their fleet vehicles, which by the way, save the taxpayer a very large sum of money. There's enough empirical data out there now where you can actually compare electric vehicles, particularly when they're running on sunshine off our products, very much less expensive to operate. For the taxpayer. Very low very much lower total cost of ownership. You guys can find all that stuff. New York City, for example, has published a lot of good stuff and so have the feds on it. They just stopped buying. And the truth is, as I said in '23 and '24, as much as 50%, maybe more than 50% of our revenues, particularly with the US Army because we had to deploy so much. We deployed more plugs for them than they in a few months period of time than they were able to even to get the zoning and permitting drawings for putting up a single grid-tied charger. So they just dried up. We're not making sales to those guys anymore. But I you know, when we saw that coming, I didn't see as early as I wanted to, as I should have maybe. I don't know. I just didn't see any of it coming. To be honest. Fire me. But the fact is, we have worked very hard to transition away from that. And you can see that in the dramatic increase in commercial sales that we've made during the period. And also, I made these international moves for growth. These were aggressive growth moves when I made them. They now look like pretty smart defensive moves too because, while we're seeing the, you know, some of the interest on the federal government side, which has been a very big input for us revenues-wise in the past, decline, we're filling that up with sales from Europe, and I'm confident we will from the Middle East as well. So part of being running a business like this is managing it. We don't just sit down and put our head in our hands and say, let's hope federal sales come back. What we all do is sit around and say, we're not getting those federal sales, figure out a way to get revenues and profits from somewhere else, and we've done well doing it.
Ryan Pfingst: Okay. I think that makes a ton of sense, and I appreciate the commentary. Thanks, Desmond.
Desmond Wheatley: Thank you.
Operator: The next question comes from Noel Parks with Tuohy Brothers. Please go ahead.
Noel Parks: Hi, Noel. How are you, man?
Desmond Wheatley: Good. Thanks. How about you?
Noel Parks: Alright. Not too bad.
Desmond Wheatley: Great.
Noel Parks: You did mention earlier that in Europe, you had instituted some lean manufacturing advances, and I was wondering if you could just maybe talk a little bit more about that. And I noticed that CapEx was somewhat higher in the quarter, maybe about $750,000 versus pretty low in the first quarter. Just wondering if there's a connection to what you're doing in Europe there.
Desmond Wheatley: So I must I'm bound to say Europe is we're very well run over there. I'm very happy with the acquisition. Well, actually with both acquisitions we made, but particularly with Amiga, which is the bigger one. The management team is really good, they've been doing this for a long time, they've had a lot frankly, they've been doing it for a lot longer than we've been doing what we've been doing in the United States. About thirty-five years. And so they're just they're very efficient, they're very well equipped. We own everything too. That's also very important. We own all the buildings. We own all the land. We don't have lease payments to make. You know, that hate one of the things I hate about our US business, I hate paying rent every month. And I'm believe me, pay attention. I'm gonna do everything I can to try to change that in the future. I like having these things on our balance sheet. So but no, the improvements that they've made have been largely without any material capital expenses, which is really good. And one of the things they have been very good very disciplined I see. I keep saying they. I should say we. Been very disciplined about here. Is in most cases where we make capital expenditures, we've offset them by selling underutilized equipment and plant from previous you know types of operations that Amiga was engaged with. For example, we used to do a lot of projects where they would make steel structures and then install them. So they had equipment machinery to do that kind of work. Sold a lot of that and used the income from those sales to offset some of our other expenses. I mean there have been there have been some expenditures, but they've been fairly minimal. Capital CapEx expenditures Lisa, what am I what are we looking at here? Yeah. So there's a few things
Lisa Potok: Let me get I'm just getting Lisa down to see if I she's got her hands more on the on these numbers than I do.
Desmond Wheatley: do.
Lisa Potok: There's a few things going on there. One of them is FX. FX really affects us this quarter. And then the other thing is when we do sponsorships, opportunities, those are still owned by us, and so those are recorded as fixed assets. And so we've got, you know, five units over at Belgrade, and we've got a few other units at a few other places. So there's some some of that going on too.
Desmond Wheatley: Yeah. So foreign exchange, of course, we can dollar that that's gonna be impactful for us where we where we're dealing with Europe and all that sort of stuff. Then as Lisa says, yeah, the the other cap patients, actually, really good news because it's paying for those for the sponsorship units that we have out there which is a business model as you any of you know me for a long time know I've worked on for a long time and very bullish about it. By the way, just while we're on that subject, if I may, I should have really mentioned it in this We've got nothing but good reports coming from that sponsorship model. First of all, the use of the units has been increasing dramatically. Secondly, the airport and the the management company that runs the airport is very, very happy with them. And thirdly, most so is the sponsor. So that just all of that has been a that has been a great experiment. You could go on experiment except it's real. We're getting paid for it. But, yes, we do have the CapEx upfront for those units, and then, of course, we get paid back in recurring sponsorship fees. But it's it's a great business for us.
Noel Parks: Great. Thanks for the extra detail. And you know, the Beam Middle East or the formalization of that JV there, does that encompass the Solvanna relationship that was announced earlier this year?
Desmond Wheatley: Solvanna is just a reseller for us. So they will continue to resell. They're they're Amman based. And they will continue to sell for us. At the moment, any sales that they make will be executed by Europe but of course as has been Middle East matures, then their sales would go into Beam Middle East and run through Beam Middle East. So what you're gonna see us be very aggressive about adding resellers because in, you know, this part of changing our our strategy. Previously when we were making a lot of sales to federal and so on and so forth, you can do that with a fairly small internal team. But we need a lot more people out there telling the Beam story for growth and for and and for defensive reasons as well, but I don't wanna add a whole bunch of OpEx. And so the way we're doing that is we're putting together very good training materials, very good collateral, and getting to the point where people can pretty much hit the ground running day one, and then we're engaging reselling teams who don't hit OpEx for us. We only pay them when they're successful. So they by the way, the the the negative on that was is they will be marginally to gross profit because their piece will come out of gross. But we'll have no OpEx associated with them while they're selling and of course the marginal on the gross that they have will still mean a lot more actual dollars coming in to us and improvement and and and our journey towards cash flow because we have to pay them at any other time.
Noel Parks: Right. Interesting. That's I appreciate the clarification about where Solvanna fits in and the resellers. And then just last one for me, just kind of as as a reality check, operating expenses are reported essentially as as sort of a combined item. And the gross margin improvement, of course, very encouraging. In the quarter. And so then what and you're talking about, of course, as you leverage your fixed overhead that gets absorbed with greater revenues. So then what's kind of the largest sort of variable expense category that remains within OpEx then?
Desmond Wheatley: For commissions, it would be the largest variable expense in OpEx. Of course, from time to time, we have to engage consultants. These acquisitions that I do, although we're very disciplined about that, we're you know, we're we're we use, you know, we've we've done enough of them now to where we've got a pretty good library of boilerplate and, you know, I've M and A is something I've done a lot of in my life. I'm I I'm probably get them done as inexpensively as anybody can, but nevertheless, you're gonna have legal fees and other and another that go along with us. So those are those are significant contributors as well. Previously, we did have external IR. That was one of our biggest external consulting expenses which would be a variable cost. We're doing that internally now. Very much less expensively and with great effect I think. But yeah, I mean, the truth is when we do these acquisitions, we add Europe and stuff like that. We will see an increase in OpEx. Obviously, we're adding overhead in the various different environments that we go into. But if you look at our numbers, what you're gonna notice is we've probably even brought OpEx down, and that's because we're very good at getting SG and A leverage. Lisa and her accounting team, the other systems that we have in place now, one of the biggest things that we've done recently is is essentially complete our ERP integration. All of this is just a lot less work now. We've got machines doing a lot more work, human beings doing a lot less work. So that's how we're able to add OpEx through these acquisitions and other expansion moves that we're doing and yet still not have that from a consolidated point of view show up as more spending because we're getting much more efficient.
Noel Parks: Great. Thanks a lot. Just just exactly what I was wondering. That's all for me. Thanks.
Operator: This concludes our question. This concludes our question and answer session. I would like to turn the conference back over to Desmond Wheatley for any closing remarks.
Desmond Wheatley: Okay, great. Thanks, everybody, for your time and excellent questions. Well, listen, it sucks that we don't have these federal sales. You know, that that that really sucks. I believe they're gonna come back because as I've said before, electrification of transportation is an inevitable move globally. No one's saying that that's not gonna happen. So they'll come back. In the meantime, we're doing yeoman's work in terms of backfilling that. And finding great new opportunities. So when they do come back, it's all gonna be accretive for us. And at the same time, as you can see, the Beam team is getting more efficient, reducing costs, producing product better. Remember that the gross margin improvement you've seen, don't forget that that's happened in the face of reduction in revenue. At this point. So that just means we got a whole lot better much better than you than you can see from it. We're not gonna lose those benefits as we move forward. So things will just keep getting better for us. And I can't wait to start telling you about what we're doing in the Middle East, where I think we're gonna have tremendous success. We've essentially done that without cost. That was just another fantastic move as far as I'm concerned. So as you could probably hear from my tone, I'm not feeling bad about the company. Feeling really good about it, actually, except for the loss of our largest customer. But again, we'll win them back, and we'll replace them in the meantime with a whole lot of new customers. So stick with us, and let's onward and upward. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.